Operator: Thank you for standing by, and welcome to First Merchants Corporation's Second Quarter 2024 Earnings Conference call. Before we begin, management would like to remind you that today's call contains forward-looking statements with respect to the future performance and financial condition of First Merchants Corporation's that involve risk and uncertainties. Further information is contained within the press release, which we encourage you to review. Additionally, management may refer to non-GAAP measures, which are intended to supplement but not substitute for the most direct comparable GAAP measures. The press release available on the website contains financial or other quantitative information to be discussed today, as well as a reconciliation of GAAP to non-GAAP measures. As a reminder, today's call is being recorded. I would now like to turn the conference over to Mr. Mark Hardwick, Chief Executive Officer. Mr. Hardwick, you may begin.
Mark Hardwick: Good morning, and welcome to the First Merchants second quarter 2024 conference call. Thanks for the introduction and for covering the forward-looking statement on Page 2. We released our earnings today at approximately 8 AM Eastern time. You can access today's slides by following the link on the third page of our earnings release. On Page 3 of our slides, you will see today's presenters and our bios to include President, Mike Stewart, Chief Credit Officer, John Martin, and Chief Financial Officer, Michele Kawiecki. On Page 4, we have a few financial highlights for the quarter to include total assets of $18.3 billion, $12.7 billion of total loans, $14.6 billion of total deposits and $9.3 billion of assets under advisement. On Slide 5, net interest margin and net interest income increased during the quarter. Net interest margin increased by six basis points and net interest income increased by $1.5 million We also had meaningful improvements to non-interest income and non-interest expense that when coupled with net interest margin improvements helped push our efficiency ratio below our key performance indicator of 55%, totaling 53.84% during the quarter. Loan growth totaled 6.1% for the quarter and we have now substantially completed all four of our major technology initiatives for the year. On a less positive note, our provision expense totaled $24.5 million for the quarter. We previously financed the sale of a business from one long-time owner and two his second in command based on a substantial and consistent EBITDA. Due to competition and the renegotiation of material contracts, the business has experienced significant deterioration in its performance, which ultimately resulted in our 10-Q subsequent event footnote on May 1st and this quarter's charge off. Despite the heightened level of provision expense this quarter, our earnings power produced growth of capital and took tangible book value per share. Our capital position allowed for the repurchase of another $20 million of stock and the redemption of $25 million in the expensive sub debt. Earnings per share totaled $0.68 per share in Q2 and through six months, EPS totaled $1.48 per share. Now Mike Stewart will discuss our line of business momentum.
Michael Stewart: Thank you, Mark, and good morning to all. Our business strategy summarized on Slide 6 remains unchanged. We are a commercially focused organization across all these business segments and across our primary markets of Indiana, Michigan and Ohio. As we enter 2024, we remain focused on executing our strategic imperatives, specifically organic growth of clients through loans, deposits and fees, engaging, rewarding and retaining our teammates and investing in the digitization of our delivery channels. These remain the focus for the balance of 2024. So let's turn to Slide 7. The second quarter continues the choppy trend of loan growth from quarter-to-quarter. We experienced over 6% growth on an annualized basis during Q2. This followed the flat Q1 and the 8% growth we experienced in the Q4 2023. During this quarter, the commercial portfolio experienced very strong C&I growth, more than 13%. The growth was shared across the regions with Indiana and Ohio joining Michigan and the sponsor teams in driving year-to-date growth to the high single digits. Our commercial focus has always been the primary driver of our balance sheet growth and the commercial and industrial sector is our largest portfolio. C&I comprises 50% of the total first merchants loan portfolio and two-third of the commercial. Business owners within our markets continue to execute their operating plans with growing working capital, equipment and acquisition needs. Our commercial bankers continue to support those companies not only with capital solutions, but also with treasury solutions. Overall, we continue to gain market share through our clients and with prospect conversions. Those two attributes, economic growth and market share growth, are the primary drivers of the continued growth of C&I. The strong C&I growth was muted by the contraction within the investment real estate portfolio. The stabilization of construction projects has continued and our clients have chosen to either sell their projects, taking advantage of attractive cap rates or refinance their projects into the permanent market, taking advantage of low long-term interest rates. We have experienced a higher than normal runoff in 2024, primarily with the multifamily asset class. The backlog of projects reaching stabilization this year is simply one of timing. A preponderance of projects that started post the pandemic needed to absorb the higher interest rates, while achieving higher rents. All these payoffs are normal course for construction projects with 2024 reflecting higher activity. New project volumes are at healthy levels. With consistent underwriting and strong syndication efforts, our investment real estate team has earned mandates for future projects. Our clients appreciate our consistent approach to underwriting through cycles and the newly awarded construction projects are primarily within the multifamily, industrial and warehouse asset classes. This new volume will begin to set the floor on investment real estate footings for the balance of this year with growth expected into 2025. The second bullet point further emphasizes growth potential within the commercial portfolio. Both the C&I and IRE pipelines ended the quarter at higher levels than at the end of March and at the end of June of 2023. I wanted to reference our fee income businesses within the commercial line, specifically treasury management fees. Treasury fee income grew more than 10% during the quarter and over the prior year. Several factors are driving that growth: new client conversion and the successful rollout of the new treasury platform in 2Q that Mark just referenced. So we've got the enhanced fee structures moving through the enhanced product platform set, and we will complete the phased rollouts of this platform and the Periphery products in the Q3. The loan outlook for the balance of the year remains at a high single digit rate with fee income growing at a double digit level. The consumer portfolio is comprised of residential mortgage, HELOC, installment and private banking relationships. During the Q2, the consumer portfolio grew more than 10% in dollars that represented a $75 million increase. The Private Banking portfolio was the primary driver of the increase, joining the consumer mortgage and small business growth as well. As noted, the consumer loan pipeline remains strong heading into the third quarter. A few comments on deposit balances during the quarter. Total deposit decline was a mix of normal seasonality and interest rate management. Historically, the Q2 is the lowest level of deposit balances with a build that continues through the end of the year. I stated last quarter that we have -- that now that we've had separation from the Silicon Valley event and as our bank's liquidity remain ample, we will focus on margin with interest expense being the key driver. With higher expectations of a Fed rate cut in the back half of 2024, we began to reduce our money market CD specials, while also reducing the tenor of new CDs. The largest balance decline was within the time deposit category. Further with the shortened maturities, we can continue to reprice the time deposit book in sync with any Fed rate reduction. Noted on the first sub bullet point, consumer deposits continued to grow on a year over year basis, greater than 4%. Total deposit balances from prior year are flat. I also want to note that deposit balance has shown strong growth through the month of July as the seasonal build occurs and organic growth in units continue. So I'm going to turn the call over to Michele now to review in more detail the composition of our balance sheet and the drivers of our income statement. Michele?
Michele Kawiecki: Thanks, Mike. Slide 8 covers our second quarter results. Pre-tax, pre-provision earnings totaled $68.5 million. Pre-tax, pre-provision return on assets was 1.49% and pre-tax pre-provision return on equity was 12.43%, all of which reflect strong profitability metrics. We continue to grow tangible book value per share, which increased to $25.10 at June 30. Slide 9 shows the year-to-date results with pre-tax pre provision earnings totaling $128.7 million. Pre-tax, pre-provision return on assets of 1.4 percent and pre-tax, pre-provision return on equity at 11.58% year-to-date. Tangible book value per share increased $1.76 or 7.5% compared to the same period of prior year. Lines 1 through 3 at the top of the page show that we continue to grow the balance sheet and remix earning assets reducing the lower yielding bond portfolio by $138 million since June 30 last year and growing higher yielding loans by $374 million. Details of our investment portfolio are disclosed on slide 10. The securities yield increased 3 basis points to 2.61% as lower yielding securities continue to run off. Expected cash flows from scheduled principal and interest payments and bond maturities in the next 12 months, totals $286 million, with a roll off yield of approximately 2.14%. Slide 11 shows some details on our loan portfolio. The total loan portfolio yield increased by 4 basis points to 6.72%. We've been able to maintain a high yield on new and renewed loans at 8.13%. That yield was 8.15% last quarter. The bottom right shows the two-thirds of our loan portfolio's variable rate. Although some of those loans are priced at or near our new loan yield currently, we still have loans continuing to reprice up creating good increment incremental interest income throughout the remainder of the year. The allowance for credit losses is shown on Slide 12. This quarter, we recorded net charge offs of $39.6 million which was offset by provision for credit losses on loans of $24.5 million resulting in a reserve at quarter end of $189.5 million. In addition to that, we have $20.3 million of remaining fair value marks on acquired loans. Our coverage ratio declined from 1.64% in prior quarter to 1.5% this quarter and is 1.66% when including those loan marks. Although the coverage ratio declined some, we are still more than adequately reserved as our allowance remains well above peer levels. Slide 13 shows details of our deposit portfolio. We continue to have a diversified core deposit franchise with a low uninsured deposit percentage. Notably this quarter, our yield on interest bearing deposits was flat compared to prior quarter at 3.16% and the cost of total deposits only increased 2 basis points to 2.66% this quarter, reflecting the pricing actions we took in the last 6 months that Mike Stewart mentioned earlier. Additionally, non-interest bearing deposit balances and deposit mix were stable quarter-over-quarter. Although we did leverage some wholesale borrowing, we paid down another $25 million of high cost sub debt at the end of April, which helped reduce the overall funding cost of the company. On slide 14, net interest income on a fully tax equivalent basis of $134.4 million is an increase of $1.5 million from prior quarter, which was the result of growth in interest income and a decline in interest expense. Yield on average earning assets on line 4 increased 4 basis points. Funding costs on line 5 declined 2 basis points resulting in the expansion of stated net interest margin of 6 basis points. Next, Slide 15 shows the details of non-interest income. Overall, non-interest income increased by $4.7 million on a linked quarter basis. Customer related fees increased $3.3 million reflecting higher gains on sales of mortgage loans and private wealth fees. The Q1 of each year is always seasonally low for our mortgage business and the production rebounded in the Q2 as expected. We believe the Q2 mortgage production levels will continue throughout the coming quarters. Included in non-interest income was a $1.4 million increase in the valuation of CRA investments that were recorded in other income. Even when excluding that valuation adjustment, our core non-interest income results were slightly above the guidance we provided last quarter. Moving to slide 16. Non-interest expense for the quarter totaled $91.4 million beating expectations and improving operating leverage. Workforce cost declined $6.1 million which was driven by savings generated from the voluntary early retirement program that we announced in the Q4 of last year as well as lower incentive accruals. FDIC assessments were also lower this quarter due to the inclusion of an increase to the FDIC special assessment accrual booked in the prior quarter. Slide 16 shows our capital ratios. We continue to have a strong capital position with common equity Tier 1 at 11.02%, which included a dividend increase to shareholders declared in the second quarter and a dividend payout ratio of over 40%. The slight decline in each of our ratios since year end reflects the $65 million redemption of sub debt and $50 million of stock buybacks since the beginning of the year. These capital actions demonstrate prudent capital management and provide a good return for shareholders. That concludes my remarks, and I will now turn it over to our Chief Credit Officer, John Martin, to discuss asset quality.
John Martin: Thanks, Michele, and good morning. My remarks start on Slide 18. I'll begin by highlighting loan portfolio growth, touch on the updated insight slide, review asset quality and the non-performing asset roll forward before turning the call back over to Mark. Turning to Slide 18, we had a strong quarter of growth in commercial and industrial loans, including owner occupied CRE on lines 1, 2 and 3 that more than offset the decline in construction and CRE non-owner occupied or investment real estate on lines 4 and 5. Our C&I growth was aided by new loan requests as well as higher line utilization. Our investment real estate strategy, as mentioned on prior calls, is one where we provide construction finance through stabilization with many perm financing options. We continue to remain well below the regulatory CRE concentration levels and remain active in new originations. This quarter, we saw greater movement out of the construction on Line 4 and into our portfolio on Line 5. Roughly 75% of the decline in the construction and non-owner occupied categories resulted from refinances into bridge or agency products and I think this speaks favorably to continued market demand for our underwriting. Then moving to Slide 19. The loan portfolio insights slide is intended to provide transparency into the portfolio. As mentioned on prior calls, the C&I classification includes sponsor finance as well as owner occupied CRE associated with the business. Our C&I portfolio has a 20% concentration in manufacturing. Our current line utilization increased for the quarter from 42% to 45.3% or roughly $236 million in new balances with line commitments higher by roughly $200 million. We participate in roughly $830 million of shared national credits across various industries. These are generally relationships where we have access to management and revenue opportunities that go beyond the credit exposure. In the sponsor finance portfolio, I've highlighted key credit portfolio metrics. There are 84 platform companies with 52 active sponsors in an assortment of industries, 65% have a fixed charge coverage ratio of greater than 1.5 times based on Q1 borrower information. This portfolio generally consists of single bank deals for platform companies, of private equity firms as opposed to large widely syndicated leverage loans from money center bank trading desk. We review the individual relationships quarterly for changes in borrower condition, including leverage and cash flow. These are merely C&I customers owned by private equity firms. Turning to slide 20, where we break out the investment or non-owner occupied commercial real estate portfolio. Our office exposure is detailed on the bottom half of the slide and represents 1.9% of total loans, down slightly from 2% last quarter with the highest concentration outside of general office in medical office space. The wheel chart on the bottom right details office portfolio maturities. Loans maturing in less than a year represent 16.3% of the portfolio or $39.6 million. The office portfolio is well diversified by tenant type and geographic mix. We continue to periodically review our larger office borrowers and view the exposure as reasonably mitigated through a combination of LTV guarantees, tenant mix and other considerations. On slide 21 are the quarter's asset quality trends and position. Non-accrual loans, other real estate owned and 90 days past due loans all decreased for the quarter, down in total from $70.2 million to $68.4 million. This represented a decline for the quarter resulting from significant charge offs. Net charge offs were $39.9 million in the quarter, primarily resulting from two relationships. The first was related to last quarter's subsequently disclosed event. The loan was a part of a larger two bank club deal where First Merchants as lead bank financed the management buyout of the business. We had been monitoring the borrower's progress over the last several quarters to renegotiate and renew various freight hauling contracts with the U.S. government. As a result of unexpectedly lower contract renewal rates and contract cancellations, we were informed by the borrower after last quarter's call that they plan to discontinue repayment of principal and interest. This event triggered the disclosure and our analysis of loss. While the loss -- the loan had some collateral, underwriting was based on historically consistent cash flow and the enterprise value of the organization. With the sudden change in revenue resulting from the cancellation renegotiation of the contracts, the company's value was negatively impacted resulting in the $27.5 million charge. The second borrower, a C&I home decor manufacturing company, had been struggling since the pandemic and notified of its plans to cease operations. We had previously reserved for the potential loss and took the $8.6 million charge off this quarter when notified of the borrower situation. Then moving to Slide 22, where I've again rolled forward the migration of the nonperforming loans, charge offs, ORE and 90 days past due. For the quarter, we added non-accrual loans on line 2 of $51.6 million driven by the transportation manufacturing company I just mentioned, there was a reduction from payoffs or changes in accrual status of $11.2 million on line 3 and a reduction from gross charge offs of $40.9 million. Then dropping down to Line 11, 90-day delinquent loans decreased by $1.1 million which resulted in NPAs plus 90-day delinquent loans ending at $68.4 million. So to summarize, C&I loan growth was good for the quarter. Commercial real estate is feeling some effect from higher interest rates, although our underwriting continues to positively cycle construction loans to the portfolio and the permanent market, and finally, we experienced idiosyncratic net charge offs in the quarter that don't appear to be part of a larger trend. I appreciate your attention and I'll turn the call back over to Mark Hardwick.
Mark Hardwick: Thanks, John. Turning to Slide 23. On the top right, you can see our 10 year earnings per share compound annual growth rate totals 10.2%. and on the bottom left our tangible book value per share excluding accumulated other comprehensive loss, now totals $28.71. Slide 24 represents our total asset CAGR of 12. 3% during the last 10 years and highlights meaningful acquisitions that have materially added to our demographic footprint that fuel our growth. There are no edits to Slide 25 as we continue to live both our vision and our strategic imperatives. We're looking forward to a stronger Q3 led by balance sheet and net interest income growth and normalized levels of provision expense. Thank you for your attention and your investment in First Merchants and now we're happy to take questions.
Operator: [Operator Instructions]. Our first question comes from the line of Daniel Tamayo from Raymond James.
Daniel Tamayo: Thank you. Good afternoon, guys. Maybe actually, we'll leave the credit questions for others, but just starting on the margin, Michele, I'm looking at the commercial loan yields being relatively stable over the last couple of quarters. Just curious where the new loan yields are in that book and then if you see any kind of incremental increase going forward absent rate cuts? And then follow on that one is just curious like the fixed rate book versus new yields, what may be the potential opportunity for loan yields as a whole to increase over time? Thanks.
Michele Kawiecki: Yes. It's good to hear from you, Danny. So for our loan yields, our new and renewed loan yields this quarter was 8.13%. So we've kind of reached some stabilization, at a really nice high yielding place, I think. We do have, I think, some opportunity for the book to reprice up just a bit. We've got probably about $450 million of fixed rate loans yet that would reprice in 2024 and they're averaging somewhere in between 5% and 6% and so I still think there's some opportunity to gain some interest income on that repricing and potentially push the overall portfolio yield up a bit.
Daniel Tamayo: Okay, great. And then I guess on the other side of the balance sheet, so curious for the any opportunity to reduce borrowings further and then your deposit costs basically stabilized in the quarter, which is great. You talked through the reductions that you had in the money market book and but just curious kind of how you're thinking about funding costs going forward and I guess overall then if you have thoughts on where the margin can move, I guess independent of rate cuts and then what the impact from rate cuts would be?
Michele Kawiecki: Yes. We were really pleased with the results on deposit costs this quarter, even seeing deposit costs go down, which is just like you said the result of some of the interest rate management that we've been doing with our deposit customers. I feel like that work that we've done is kind of been done. I feel like now it's just a matter of looking at what competition does from here until the end of the year and so I think our deposit costs should be stable. Looking at margin through the end of the year, assuming a flat rate environment, I would expect that we would still see some margin expansion. It will be stable at the minimum, but perhaps some expansion as well. We do have CDs that are repricing, but see those the rate at which they're repricing is actually either similar or even just a slightly bit higher than our promos today and so it's not that we really have a headwind there -- or a tailwind there, but we certainly don't have a headwind on that book and so that's good news. So, I think margin, assuming a flat rate environment, ought to be stable to up.
Daniel Tamayo: Great. And just remind us, if you will, on how you think rate cuts would impact that forecast?
Michele Kawiecki: Yes. So our models tell us that with each 25 basis point rate cut, we would have a decline of about 3 basis points in margin.
Daniel Tamayo: Okay. All right. Terrific. Thanks for all the color, Michele.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Damon DelMonte from KBW.
Damon DelMonte: Hey, good morning everyone. Hope you're all doing well and thanks for taking my questions. Just wanted to start off on expenses, Michele. You noted the decline in the salary benefits line item reflected the impact of some voluntary retirement and other items. Do you think that this kind of low $52 million range is sustainable? Or would you expect kind of some normalization there and see that creep back up to maybe the $55 million, range?
Michele Kawiecki: No, I would expect the expenses to be somewhere between where we landed this quarter to maybe up 2%, somewhere in that range and we had great expense discipline this quarter and I think we'll continue to do so through the remainder of the year.
Damon DelMonte: Okay, and that's for total expenses, not just the salary and benefits line?
Michele Kawiecki: Correct.
Damon DelMonte: Okay. Great, and then with regards to fee income, you know, if you back out the, the CRA, adjustment that you had or realized gain there, do you think you can kind of keep the fee income in that in the low you know, $31 million to $32 million, range kind of in the back half of the year?
Michele Kawiecki: Yeah. I do think that's a good run rate.
Damon DelMonte: Okay. Great, and then just lastly on, just more on the provision versus the overall credit. You know, do you do you feel comfortable with the reserve? Obviously, 150 is pretty healthy. Do you think that you're kind of going to see some natural drift there over the back half of the year and that the provisioning would kind of go back to what we've seen the last couple of quarters, ex this quarter?
Michele Kawiecki: Yes, I think we will definitely be providing for loan growth, to make sure that we've got good coverage with any growth that we have and then we'll just have to see what the forecast -- how the forecast impact our mode, but we're expecting provision to normalize this quarter obviously was very unique.
Damon DelMonte: Okay. That's all that I had. Thank you.
Operator: Thank you. Our next question comes from the line of Terry McEvoy from Stephens Inc.
Terry McEvoy: Hi, good morning, everyone. John, I know you used the word idiosyncratic to talk about the credit events last quarter, though transportation is your third largest nonaccrual and was behind the charge off. So could you talk about a recent review of the portfolio? I think it's about 4% of C&I loans or transportation warehouse and what your thoughts are going forward in terms of the underlying risk?
John Martin: Yes. We've I pulled out the transportation concentration as you pointed, its 4%. The transportation portfolio in general, I don't have the specific criticized or classifieds within that book but what I would say is that, absent this one rather large credit, most of our lending within that space is secured, non-transactional leveraged or buyout finance and the remaining balances in that book are generally trailers and PTOs related to trucking operations. The general freight hauling industry in general, it has experienced some stress with lower rates over the more recent past, but this particular and why I say it's idiosyncratic freight hauler that had contracts with the government freight hauler that had contracts with the government versus the general freight hauling industry. The customer was, I think, as it was had the renewal of the contracts, was somewhat well, it was definitely unexpected from the borrower's perspective. So this being idiosyncratic compared to what my evaluation would be of the general transportation segment within our portfolio.
Terry McEvoy: Thanks, and then, Mike, just Slide 18, just so I'm clear, on Line 4 and 5, the decline in construction and development and non-owner occupied CRE, that's more of a reflection of kind of market conditions versus a strategic decision to reduce those portfolios? And did you say you'd expect some growth to balances to move higher in the back half of 2024?
John Martin: You're correct. There was no strategic change in how we're managing an investment real estate book. It was just all the way the normal process went for us and where the concentrations were with or the maturities were inside that portfolio. Our IRE activity quite frankly for the first six months of the year has been very, very strong with good sound projects in those space and you're just not seeing that come through footings yet, and that's what I was saying. I think that we're probably at putting that floor in on IRE footings that will then put in growth into next year in that sector, but it's not a strategic change, consistent underwriting. Our key clients continue to come to us with their projects and capitalize them well, and we like the underwriting.
Terry McEvoy: Maybe one last question for Mark. I don't want to overlook the last major technology initiative of the year was completed last quarter. Could you maybe talk about how much of that was self-funded through reduction in real estate and employees, etc.? And I guess, strategically, how does that better position First Merchants in the marketplace to grow organically and service customers?
Mark Hardwick: Yes. The last item was the conversion or has been the conversion of our online and mobile platform for commercial customers and so it's an area where we're really excited to finally have more state of the art technology. We were using FIS and had continuously kind of waited on an upgrade of their core system in that space and ultimately kind of gave up and decided to go hire a third party vendor tier 2 to help us with that work, and so, as much of a commercial bank as we are, we had a bit of an inferior treasury management product and so as Mike said in his remarks, which I thought was really well put, we've enhanced our fees -- increased our fees and we've enhanced the product and really feel like we have an opportunity to win in that space at a level that we've never really experienced, which is exciting for us, and then the way it was funded really was just from the elimination of the cost we were spending with FIS. There was virtually no difference in the expense from using our core provider kind of the old bank in the box mindset as a core platform, online and mobile platform with FIS and moving to Q2, where we did have some expenses just around the conversion itself, which we've called out as one-time last quarter and had a modest amount of it in this quarter. I didn't think it was worth really covering, but really excited to be on the back end of four major technology initiatives. I think Mike has a little more to add as well.
Michael Stewart: That's a good question. I'm glad you asked. Mark talked about the commercial side, which we talked about. On the consumer side, the platform investments and bringing the technology into a new place has enabled us to continue to as we monitor where our clients are utilizing our physical infrastructures, our banking centers, we do consolidate banking center locations and this technology and these enhancements continue to allow us to open new accounts and serve their needs and we continue to analyze that infrastructure and then on the private well side that new technology platform built some synergies in and there were some people eliminations along the way. So to Mark's point, they were self-funded on a technology point of view. Some of them turned into true revenue generation and some of them also had expense reductions associated with them and we're on the back half of that or the backside of that.
Terry McEvoy: Perfect. Thanks for taking my questions.
Operator: Thank you. Our next question comes from the line of Nathan Race from Piper Sandler.
Nathan Race: Yes. Hi, everyone. Thanks for taking my questions. Just wanted to clarify on Michele's comments around the margin following each Fed cut, I think you said 3 basis points, but we're just curious if that's under a static scenario or does that kind of contemplate some improvement in mix just as you redeploy securities portfolio cash flow into loan growth?
Michele Kawiecki: Yes, that's actually assuming a static balance sheet.
Nathan Race: Okay, great. So theoretically the pressure should be less than that 3 basis points, what it sounds like?
Michele Kawiecki: Yes. That would be what we would expect.
John Martin: Yes. Internally, we've talked about how that remix could happen or also just what does competition do. We've been living in an inverted yield curve environment for a couple of years. I'd like to think if we have a rate reduction that across the industry we're making deposit rate reductions.
Nathan Race: Got it, and John, can you just clarify just in terms of the $51.6 million in new non-accruals in the quarter, it sounds like the bulk of that came from the transportation C&I loan that we talked about. Is there anything else worth calling out that drove that increase?
John Martin: No, the $51.6 million, yes, it was a combination of that and the other manufacturer that I mentioned. Those are the two biggest drivers of that number.
Nathan Race: Okay, got it, and then just maybe lastly, just thinking about the opportunity or appetite for additional repurchases in the back half of the year, obviously activity stepped up nicely here in the Q2 and you guys are still sitting with really strong capital levels and have a nice organic growth runway in front of you, but just curious on how you guys are thinking about that appetite going forward?
Mark Hardwick: Yes, we were active early in this quarter. I think we'll probably wait to see how the market stabilizes. We were active late Q1, early Q2 and I guess we'll just kind of see how the quarter plays out, but we don't intend to be we aren't active right now, I guess is maybe the best way to put it.
Nathan Race: Okay, got it. And then actually just one last one, obviously there's been some increased chatter on the M&A front recently. There was a deal announced in Michigan earlier today. So just curious kind of what the appetite and interest is in acquisitions going forward?
Mark Hardwick: Yes, I looked at that this morning. That's a meaningful franchise now when you put those two together in Michigan, and I would just say conversations are up. There is clearly a little more interest in terms of seller appetite and I think given the stock prices are up slightly, the view that rates may be coming down or we're not going to continue to see increases has caused a little more has created a few more conversations, but I we have a handful of banks that we're very interested in. When I say handful, maybe it's three or four and timing is everything. We'll see if anything happens with those banks in the near term. Otherwise, we're focused on just running the company and leveraging organic growth, continuing to be efficient and optimizing our capital.
Nathan Race: Okay. That sounds great. I appreciate all the color.
Operator: Thank you. Our next question comes from the line of Brian Martin from Janney Montgomery Scott.
Brian Martin: Hey, good morning, everyone. That was well said, Mark. Just one last one on the M&A. Just if you think about where First Merchants would consider opportunities kind of in footprint, out of footprint, just high level, not saying anything is imminent by that front, but just understanding where what geographies are important to you today?
Mark Hardwick: Yes. We're very focused on Indiana, Ohio and Michigan. Those are the markets that have where we're actively communicating with potential partners and I think that kind of is the extent of it to be honest. We've always had some interest in Kentucky. They're just the profile, the number of institutions, especially kind of in the Louisville market are incredibly limited. So the majority of our communication and prioritization are in the states of Indiana, Ohio and Michigan.
Brian Martin: Got you, and is it more -- I mean preference wise Mark more new entering to a new market or just more scale or either one doesn't matter?
Mark Hardwick: I mean, they both have, it depends. If we could create scale and really have a meaningful expense cost or expense or cost takeout, it's interesting to us and if there were a market where we could help accelerate our future growth rate, that's important as well. So I guess just trying to balance the two. And as much as anything, make sure that it's the right market with the right culture and that we believe at the end of the day we can create real shareholder value.
Brian Martin: Yes. And I guess timing is everything like you said. So it could be what you want versus what's available. So got you. And then maybe just one for John on credit, John. Was there anything in terms I know you gave the classified number, but it didn't sound like anything much, but in terms of special mention, any trends upward or downward are pretty stable in the quarter?
John Martin: It's actually been pretty stable and from a balance standpoint -- or from a commitment standpoint, it was down a little bit. It feels like it is pretty stable at this point absent obviously for us those two names.
Brian Martin: Yes. Okay, and then just the last one or two, maybe for Michele. Just on Michele, the bond book, it sounds like that as far as where that bond book lands as far as kind of using the cash flows to fund loan growth, where do you expect to settle in on moving that portfolio down in size? Where do you want to see that trend to?
Michele Kawiecki: Well, our historical, investments to assets ratio has been somewhere between 15% to 18%, and you know, for us, I think that still would be a more appropriate landing spot in terms of having an earning asset a go forward earning asset mix and so we'll continue to let it drift. Last year, we looked for opportunities to sell bonds. We'll continue to do that as well.
Brian Martin: Got you. Okay. And you did say that I mean, I was going to ask as well on that 3 basis points. I guess when you get to the out cuts after the first potential couple cuts, it seems like you've got more ability to work on that deposit beta and get maybe have that lessen that up a little bit. That's kind of the way they view it. There are successive cuts, the later ones are less impactful in terms of the 3 basis points?
Michele Kawiecki: Yes. Well, I think in our deposit base, we do have about $2.5 billion of deposits that are indexed, and so there's certainly there's opportunity to reduce some cost with those first couple of cuts.
Brian Martin: Yes, I got you. Okay. And then the last one I have was just maybe Mike, if you already gave this, I can go back and re-listen, but see, I joined late, so the loan pipelines where they were at kind of coming out of the quarter, if you covered it already, I'll go back and listen or if you didn't, if you could cover that, that'd be great.
Michael Stewart: No, it's on that slide too, but I don't mind emphasizing it again is that I noted that on the commercial pipeline, both the C&I and the IRE pipelines ended June at higher levels than March and over prior years, so just good momentum and I feel like the maturity of our Michigan market in particular. And then on the consumer side, which includes our mortgage, our consumer mortgage portfolio that too ended the quarter at a high watermark for us and most of that is the seasonal build and the good trends inside consumer mortgage.
Brian Martin: Got you. Okay. That's perfect. Thank you for covering that again. I appreciate it. Thanks for taking the question.
Operator: Thank you. This concludes today's conference. [Operator Closing Remarks].